Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Wausau Paper 2012 Fourth Quarter and Year End Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. (Operator instructions) As a reminder, this conference is being recorded. I would now like to turn the conference over to our host Mr. Perry Grueber. Please go ahead sir.
Perry Grueber: Thank you, Jinxan. Good morning everyone. Thank you for joining us this morning. I am pleased to be here today with Hank Newell, our President and Chief Executive Officer and Sherri Lemmer, our Chief Financial Officer. On today’s call, we’ll review full year and fourth quarter 2012 operating results, strategic announcements, and our outlook for 2013. After our prepared remarks, we will be happy to address your questions. This call is being webcast and slides are provided to summarize our key elements of our presentation. Your webcast viewer should allow you to download our slides and this morning’s earnings release, both of which are also available on the Investor Relations section of our website at wausaupaper.com. Statements made during this presentation, other than those that refer to past results are forward-looking statements made pursuant to the Safe Harbor provisions of the Securities Reform Act of 1995. Such statements, including those concerning expected performance, price increases or future earnings or dividends involve risks and uncertainties that may cause results to differ materially from the expectations set forth during this discussion. Among other things, these risks and uncertainties include the risks and assumptions described in Item 1A and Item 7 of the company’s Form 10-K for the year ended December 31, 2011. The company assumes no obligation to update or supplement forward-looking statements that become untrue because of subsequent events. Additionally, our presentation refers to certain non-GAAP financial measures. A reconciliation of these measures to GAAP is provided in the appendix of this presentation. There you will also find key statistics relating to inputs, EPS, and you might find these and the EBITDA and EBITDA margin disclosures provided this morning useful. With those opening comments out of the way, I’ll now turn the call over to Hank Newell. Hank?
Hank Newell: Thank you, Perry, and good morning. My comments this morning will be focused on the strategic repositioning of Wausau Paper and our outlook for the next 18 to 24 months. Sherri will provide discussion of our fourth quarter and full year results and provide guidance on certain drivers and assumptions with respect to our results in the coming year. A core value of our company is safety and our belief that all injuries are preventable. We had the safest year in our history this year with four of our five operations recording their individual best years ever. Thank you to those employees who are listening to this call for your commitment to creating an injury-free workplace. Our Tissue business delivered an exceptional year with case growth over 3.3% in a market that grew in the 1.3% range. Growth in our value-added products, those products sold through proprietary dispensers was up 5.9% in the fourth quarter and accounted for over 50% of volume. Our new tissue machine officially started up in conventional mode on December 11 and to-date is performing well ahead of our planned start-up curve. The machine started up on schedule and on budget. After an outage last week for the conversion to ATMOS, we expect to produce the first product in ATMOS mode for qualification this week. Technical growth of 4.5% was achieved in a weak industrial demand environment. There were significant areas of strength. Tape was up 14%; silicon and coated products 12%; and both food and release liner sectors grew 4%. We completed the exit of our print business this year generating cash of over $52 million inclusive of the sale of brands, shutdown of Brokaw, the fulfillment of the supply agreement with Neenah, and the resulting reduction in working capital. Our expectations for the exit have been $20 million. The area that negatively impacted 2012 performance was the impact of the print exit and operational challenges at Brainerd. This coupled with weak demand in industrial and tape markets was a significant negative impact on second half and fourth quarter Paper segment performance. The company exceeded our cash generation expectations ending the year with $196 million in debt well below our expected levels as we complete the startup and commissioning of our new tissue machine. We also completed a strategic review which resulted in our announced intent to narrow our business focus to Tissue. I would like to layout our plan for the strategic repositioning of our company by first providing some background on our strategy, then talking a bit about the strategic review process. Our Tissue expansion was approved in approval of 2011, the product of multiple years of work to define market potential, assess evolving papermaking technologies, evaluate potential sites for new machine, and engineer the project. When we approved the project, we identified the divestiture of our print business and timberlands as funding sources and the potential sale of paper as a future alternative. Leading up to this approval, the company had worked hard to consolidate, narrow the focus of its paper business, and prepare the balance sheet to support a major investment. These strategies were in place as we entered 2012. I was appointed CEO at the beginning of last year and shortly thereafter appointed a new Chief Financial Officer a new Senior Vice President to our tissue business. In April, three new directors were elected to the Board. Each of the new board members including myself have long careers in tissue. Early in the year, we expanded the engagement of our independent financial advisor to assist the board in the evaluation of alternatives for paper. This has been an intensive effort involving our board and management. Over several months in 2012, the Board conducted a detailed review of the value creation potential for each of our businesses. The review confirmed that the best strategic path to drive increased shareholder value over the next several years would be to focus exclusively on the significant growth opportunities our tissue business presents. In the fall of last year, the Board authorized management to explore potential divestiture transaction for our paper business. Management also began to prepare the detailed business for a tissue-only Wausau. In January of this year, management reviewed its final recommendation with the Board for the strategic repositioning of the company, and the company subsequently announced the intent to narrow the focus of our business to tissue. The strategic repositioning of our company starts with the narrowing our focus to our highly successful tissue business and the broader tissue markets. The divestiture of the Paper segment in a way that delivers appropriate value to our shareholders is a key step, which allows for the realignment and reduction of overall selling, general, and administrative costs across the company, and creates the balance sheet strength to support the acceleration of growth in tissue. We expect to achieve a near-term return on capital of 15% within the next 18 to 24 months. 2012 adjusted EBITDA for Wausau Paper was $68 million with $22 million of that attributable to the Paper segment. Overall restructuring of the company, particularly in centralized corporate areas will result in a reduction of approximately $13 million resulting in a pro forma EBITDA after repositioning of $59 million. The expected benefits of our tissue expansion deliver a total Wausau EBITDA of approximately $140 million by 2017. 50% to 60% of the expansion benefits will occur by the end of 2014, with immediate benefits from product design and manufacturing cost this year. On a pro forma basis, the exit of our Paper segment and restructuring of overall SG&A moves our 2012 adjusted return on capital from approximately 4% to 10%. The execution of our tissue expansion results in the company exceeding our new long-term return on capital target of 18%. We expect to allocate capital for continued organic investment and adjacency expansion in a way that supports continued above market growth and sustains a long-term 18% return on capital. We are well down the road in executing all elements of this strategy. Focusing in on the near-term, Wausau Paper on a pro forma post repositioning would have had a 10% return on capital in 2012. This reflects the impact of capital spending, hiring of personnel, and construction and startup of the new tissue machine. The outage to commission ATMOS, a new product qualification will be reflected in first half results and pressure ROC this year, second half will see an accelerating step change in performance as product is commercialized for the company achieving a near-term return on capital of 15% by 2014. Looking at this year, we expect to make significant progress in the repositioning of our company starting with the divestiture of our paper business. We expect to build on the momentum of 2012 working with our customers to again achieve above market tissue case growth targeting over 6%. We will commercialize our tissue machine on a range of products taking advantage of the capabilities of the ATMOS technology to produce new-to-the-market premium talent tissue with 100% recycled fiber. We will re-launch our Dubl-Nature brand in the second quarter, which will demonstrate significantly enhanced product attributes and launch a new brand, ARTISAN in the fourth quarter that will target the top quality tiers of the away-from-home market. We will be providing our customers green leadership across the entire product spectrum coupled with investments in proprietary dispensing and converting, and a level of sales and marketing support that we believe is unsurpassed in the industry. We truly look forward to sharing our progress this year as we repositioned the company for growth in Tissue. I would now like to turn this over to Sherri. Sherri?
Sherri Lemmer: Thank you, Hank and good morning. As discussed previously, due to the sale of our premium printing color business and the resulting closure of our manufacturing facility in Brokaw, Wisconsin, we have reclassified our results of operations to distinguish between continuing and discontinued operations. Today, we will focus our discussion on the results of continuing operations, so we won’t be discussing the reclassifications in depth during this conference call. However, the appendix to our presentation provides the additional reconciliation detail. For the full 2012 year, we’ve reported consolidated net sales of $822 million and adjusted earnings per share from continuing operations of $0.22 compared to prior year net sales of $823 million and adjusted earnings per share from continuing operations of $0.33. Looking at a reconciliation of adjusted earnings per share, you can see the various elements that take us from the prior year results to our December 31, 2012 adjusted earnings per share. As Hank mentioned, we experienced growth in our Tissue segment with cases shipped increasing 3.3% year-over-year and then our Paper segment with technical sectors improving 4.5% year-over-year. On a consolidated basis, favorable fiber and energy benefited our results by approximately $0.36. During 2012, we had unfavorable impacts in both of our business segments from selling price in the impact of mix, equaling approximately $0.22, and an impact of $0.20 per share with approximately 65% of the impact occurring in the second half of 2012 due to higher levels of wages and fringes as we increased our workforce in anticipation of the startup of our tissue machine in Kentucky and experienced increased fringe charges in Paper. Operational impacts were unfavorable by approximately $0.13 per share and included unabsorbed manufacturing overhead as we started up our new tissue machine in Kentucky, and in Paper general operational issues. Both segments also incurred additional maintenance related spend in 2012 compared to 2011. For Tissue in 2012, we executed in line with our commitments to grow volume measured in cases by 3% to 4% over the prior year. Our momentum built throughout the year finishing with 4% growth in the fourth quarter of 2012 and a record 16 million cases shipped during the 12-month period. Additionally, while we experienced overall average selling price declines, these declines were the result of a purposeful repositioning of product lines and cost structure that allowed us to improve adjusted operating profit and year-over-year margin with adjusted operating margins at 12% compared to 10% in 2011 and adjusted EBITDA margins of 20.1% in 2012 compared to the prior year’s 18.9%. The fourth quarter of 2012 adjusted operating margin of 12% fell slightly below our target of 13% due to the mid December startup of our new tissue machine in Kentucky. Unabsorbed manufacturing variances realized following the startup of the machine were not excluded from operating profit to arrive at adjusted operating profit results, and therefore impacted operating margin by approximately 2 percentage points. As Hank discussed, our $220 million tissue expansion project is progressing as planned. Cumulative project spend through the end of 2012 was $187 million with $176 million of capital spending and $11 million attributable to project-related expense. We are projecting approximately $20 million in project spending in the first quarter of 2013 and we expect to produce and commercialize premium product in the first half of this year. Turning to our Paper segment in 2012 as mentioned, we achieved 4.5% growth over 2011 in our technical sectors. The segment reported an adjusted operating loss of $1.4 million compared to the prior year adjusted operating profit of $16.1 million. 2012 is the story of two very different halves. During the first half of 2012, we sold our premium Print & Color business marking the end of our material participation in that sector of the uncoated free sheet market. As we worked through the transition of that business to Neenah Paper, shipments of print grades from our Brainerd, Minnesota manufacturing facility in the first half of 2012 exceeded the first half of the prior year by more than 20%. At the same time, our technical specialty business located primarily at our Mosinee and Rhinelander, Wisconsin facilities grew by approximately 8% over the first half of 2011. In the second half of 2012, as a result of the accelerated exit plan with respect to the legacy Print & Color business, shipments of those grades declined nearly 50% compared to the first half of 2012 resulting in the impact to the second half adjusted operating profit of $4.4 million. While this decline in volume allowed for technical specialty qualification efforts at our Brainerd facility, a weakening demand environment combined with operational challenges put significant pressure on operating results for the Paper segment in the second half of 2012. Specifically, the weak demand environment unfavorably impacted our technical specialty business by approximately $5.2 million, with the volume of tons shipped declining approximately 7% in the second half of 2012 compared to the first half of the year. As I mentioned earlier, pressure to the second half of this year was also the result of operational challenges and the fourth quarter shutdown of converting operations and market-related downtime at the Brainerd facility. Operations accounted for an unfavorable impact of approximately $3 million. As discussed during 2012, we continued to manage the elements of our balance sheet to provide necessary funding for our growth strategies. We were able to maintain our long-term debt below our original forecast ending the year at $196.2 million with debt to total capital on a reported basis at 48.8%. Our total debt capacity is $325 million and remaining capacity at December 31 was approximately $129 million. To provide a little more detail with respect to our change in net debt, over the last 24 months, we have developed and executed various strategies to generate cash to provide adequate funding of our tissue expansion project, as a result of the successful planning and execution of these strategies like the sale of our remaining timberlands and the sale and exit from our premium Print & Color business that generated $52 million in cash from items such as working capital reductions and the sales of the business and the manufacturing facility, we have increased our level of net debt only $67 million, while spending approximately $227 million on capital projects and providing nearly $24 million in funding of defined benefit pension plan obligations. Looking forward, we expect debt levels to increase to the first half of 2013 as we continued to work through the startup of our new tissue machine and the commercialization of premium products. In addition, a cautious economic outlook with U.S. GDP for the first half of 2013 forecasted to be under 2% presents EBITDA challenges for our Paper segment. We are currently forecasting peak debt in the range of $235 million to $240 million, which will likely occur in the third quarter of 2013 before declining as we approach year end. During the year, we expect to stay below our reported debt-to-capital ratio of 55%. We will continue to actively and prudently manage against our total debt capacity and believe we have sufficient capacity to meet our funding obligations. A final comment with respect to capital spending, we allocated approximately $131 million of capital funds toward the tissue expansion project, with total capital spending of $149 million for the year. In 2011, total capital spend was $78 million with more than half of that allocated to the tissue expansion project. Our capital spending forecast for 2013 is $50 million with approximately 80% of those dollars directed toward our Tissue segment. Our drivers for 2013 include expected volume growth as measured by cases shipped of more than 6% for our Tissue segment. We expect that we will realize EBITDA margins of between 21% and 23% by the fourth quarter of 2013 with a 5-year target for the segment of between 25% and 27%. These ranges do not include the strategic repositioning impacts discussed earlier by Hank. For Paper, we expect adjusted EBITDA improvement of approximately $15 million over 2012. Improvement will be realized through sales price and mix improvements in our core technical business and the realization of cost improvement in our papermaking operations. Before I turn the call back to Hank, I wanted to review assumptions for 2013. With the new tissue machine in full operation this year, we expect depreciation and amortization to increase between $8 million and $10 million and be in the full year range of between $54 million and $57 million. This increase over 2012 is all attributable to our tissue business. In 2012, we capitalized $4.7 million of interest as a result of our expansion project. In 2013, we are forecasting interest expense in the range of $9 million to $11 million. I discussed earlier capital spend for 2013 of approximately $50 million. Our defined benefit pension cash contribution requirements will be significantly lower than 2012 as we do not expect large settlements from existing plans, and we will benefit from funding relief provided to planned sponsors in 2012. Defined benefit pension expense will also be lower in 2013 as we do not expect to have settlement charges for our active pension plans. In summary, from a finance perspective, we are anticipating pressure on EBITDA and debt levels in the first half of 2013 through the commissioning of ATMOS technology and the commercialization of products off of our new tissue machine, and continued economic weakness in the technical sectors of our Paper segment. We will continue to manage working capital levels and capital spend to minimize the impact of our capital structure and allow for our continued focus on growth in our tissue business. With that, I will turn the call back to Hank. Hank?
Hank Newell: Thank you, Sherri. I would like to make a couple of final comments. While we have announced our intent to divest paper, our Paper segment is a strong business aligned against growth markets with the trust and respect of our customers and suppliers. We expect to divest this business in a way that creates significant value for our shareholders, protects our customers, but also puts this company in a position for future success. I would like to thank every employee for their commitment to Wausau Paper and for their willingness to embrace change and opportunity. In addition, I would also like to thank our shareholders for their ongoing support and constructive counsel. Thank you. Perry, we can open it up for questions.
Perry Grueber: Thanks Hank. Thanks Sherri. Jinxan, would you poll for questions please?
Operator: (Operator Instructions) We will go to the line of Mike Roxland with Bank of America. Please go ahead sir.
Mike Roxland: Thanks very much. Just want to get, dive down a little bit further in terms Hank of your thinking and your team’s thinking regarding the sale of the technical specialty business. If I look back in May at your Analyst Day and even over the last several years, you sounded very positive about the long-term prospects and certainly about the growth prospects of various pieces of that business whether it be tape, where you committed $27 million or the food business. And if I look back even at last year, I recall that you were stating that you were successful in improving the overall profitability of the business and then you expected more success over the next three to four years. So, what I am really trying to get is why the reversal in outlook into something really material change between then and your recent divestiture announcement?
Hank Newell: So, I think the key change would be the rate of improvement that we have been seeing in Paper. I think Paper is I think a business with strong potential to create value, but with the rate of change, we were seeing, they were beginning to become a constraint on our ability to take advantage of opportunities to accelerate growth in tissue. So, I think this is a choice of alternatives. And within our tissue business, we have significantly more attractive opportunities to accelerate growth than with Paper.
Mike Roxland: But it’s something, I mean, is there any way for you putting numbers around that, so when you say the rate of change, is there any way for you to quantify what that rate of change was? It wasn’t growing as those particular segments weren’t growing as fast, because I know you – if you look back even at the Analyst Day last May, you were quite pleased with the growth in those particular segments. So, I just want to get a sense quantitatively what occurred that made you decide that this is the right time, right now to get rid of the business?
Hank Newell: So, I think if you remember that Analyst Day is one of the things we talked about was with the Paper segment was the need to create scale and competitive position. So, as you look at the opportunities to do that, it requires investment. And when you look at where the best to invest for our company right now, it’s in Tissue. I think as it relates to the market growth potential of the technical sectors, I think there is nothing that remains unchanged there for us. I think the target margins within our Paper segment remain unchanged I think the timeframe to get there as we have talked about in the past can become more very dependent on economic outlooks. And as the economic outlook has continued to be pretty modest, again the Paper segment becomes a constraint on our ability to grow tissue. If we have been able to achieve the acceptable return on capital target in Tissue on a 24-month timeframe, my viewpoint would probably be different.
Mike Roxland: Got it. Other than potentially selling the technical specialty paper, are you opposed to sale of the entire company if you are able to garner more value for shareholders?
Hank Newell: If certainly any alternative – the alternatives we will always consider are those that are going to demonstrate the highest value for our shareholders. The practical issue is we are sitting here today with $200 million of steel on the ground with no revenue, that being a new tissue machine. We have got tremendous expectations for return on net investment and when individuals talk about looking at alternatives, it’s just a really inappropriate time to think about any alternative except for realizing our expectations on that investment.
Mike Roxland: So, does that mean that you would be willing to, I mean if somebody is a buyer or potential buyer came and offered an attractive price for the company, I mean as it sounds like you are pretty much set on just looking, because of the steel, you said steel in the ground you are pretty much said on only selling that piece and wouldn’t consider an entire sale of the company?
Hank Newell: Well, I think again, our Board will always consider those alternatives that are placed in front of them, and as it relates to maximizing the value for our shareholders, but I think practically speaking as you think about that, we’ve been undergoing a major investment. We are in the startup of that major investment now. It’s over $200 million of capital that’s not generating return at this point, because it’s just now beginning to commercialize. So, I think its okay to pose the hypothetical question, but the practicality of it is you are asking someone to pay on the prospective value of that investment. That may or may not happen. Does that help?
Mike Roxland: Yes. Just the last question, I will turn it over. Can you just talk about the progress you are making on the new towel and tissue machine, I know you mentioned the commercial production began in – or it’s going to be later on, I guess you have started a little bit of trialing. You know the EBITDA margins you are now targeting at around 23%, 25%, actually the first question, are those margins that you are targeting representative of the entire segment or just the new capacity that you are adding? And can you just go into a little bit of color or more detail in terms of the pricing and mix assumptions that are behind that increase? Thanks.
Hank Newell: Yeah. So, those targets are total segment targets as it relates to the machine, the machine started up in what we would describe as conventional mode in December, which means we were producing conventional product and displacing the purchase of conventional parent roles. Here, early in the first half, we are going to be going through the trial and qualification of new machines with new products based on ATMOS substrates. As you move into the second quarter, you will see the launch of our Dubl-Nature brand based on the new ATMOS substrates. As you move through the year, you will see continual introduction of products supporting that brand and as we move towards the end of the year, the launch of a new premium brand called ARTISAN, which will depending on the product category be based on a range of substrates. So, in terms of margin expansion, you first get the benefit of getting through the startup curve on the tissue machine then you will begin to get the benefit of the reduced fiber and energy cost related to producing a product as it relates to producing our new products. And then very late in the year, you will begin to see some very modest impact of a premium, what I call, the top end premium mix, but that migration will occur throughout the year.
Mike Roxland: Thank you.
Operator: Thank you. We will now go to the line of Mark Wilde with Deutsche Bank. Please go ahead.
Mark Wilde: There we go. And that’s somebody new something I didn’t. Good morning Hank. Good morning Sherri.
Hank Newell: Yeah. I thought maybe you had joined somebody new here Mark.
Mark Wilde: Yeah, they are all not that I knew of. Listen let’s just start an easy one here, just NOLs, Sherri, can you just remind us of where you sit right now in terms of any tax shields?
Sherri Lemmer: So, essentially we have some state net operating losses that are out there as well as you recall the black liquor credit or cellulosic bio-fuels credit that we have remaining to utilize against any future income.
Mark Wilde: And do you have any – can you give us a number around all of those?
Sherri Lemmer: I can probably follow-up with you.
Mark Wilde: Okay, that’s fine. That’s fine. Next, Hank I wonder can you just put a little more color around the weakness in the technical paper business, especially where you are at with Brainerd right now?
Hank Newell: So, why don’t I just talk, why don’t I use it an opportunity to kind of talk specifically around Brainerd. During the current year, during 2012, Brainerd was really required to fill the terms of our supply agreement with Neenah. We ultimately fulfilled that agreement in December. So, it played a pretty significant role in delivering the over $52 million in cash that we got from that exit. As we sit here today, we have a number of alternatives for the Paper segment that in some cases are enhanced by the Brainerd asset. And we are kind of working through those alternatives. Ultimately, as we think about Brainerd, we are not going to allow it to impact the segment’s ability to deliver a pretty significant improvement in results this year.
Mark Wilde: Well, certainly how do you do that? Is it possible you may actually have to just take Brainerd down for a period or run it just on an interim basis?
Hank Newell: Yes. I think all those alternatives are possible, Mark. And I think again as you work through the ultimate plan for our Paper segment, it kind of guides you to the ultimate plan for Brainerd.
Mark Wilde: Well, Hank, can I just ask just from a big picture standpoint, it just seems to me when we look at both printing and writing in technical papers, there is just a long history here of sort of unmet promises and then really bad capital decisions. I mean, we put that whole pulp handling system in the Brokaw within two years of shutting the mill down and then we just put $27 million in new capital in the Brainerd on this rebuild? I mean, do you guys understand why there is kind of frustration and credibility issues out there?
Hank Newell: Yeah, I certainly understand the frustration with some of those. If you think about Brainerd, the Brainerd investment that had not contemplated consuming more than probably 50% of the machine time as it relates to tape. I think with the exit of print and the way, in which we had to exit print, we injected a lot of risk that’s proving very difficult to overcome there. The basic investment thesis there, I think you would find is solid. Those technical markets are strong. Our remaining franchise that’s resident at both Mosinee and Rhinelander is very strong. So, I understand the frustration with Brainerd. And I think part of that is what drives us to prioritizing our future investments in Tissue. And if you really look at capital allocation, Mark, I hear what you said, but going back to let’s start with ‘08 to ‘10, we were significantly increasing our allocation of tissue of capital to tissue, the next two years even more so. And I think if you go from like 2010 to ‘12 we were at 60% and over the last couple of years, we have been close to 80%. So, I think there has been a recognition that the place to invest is Tissue and I think we have made the final step that says Paper is beginning to constrain our opportunities with Tissue and we need to take the appropriate action.
Mark Wilde: I hear you Hank, but I just again, I have covered the company for almost 20 years, I have watched the HPL project going back about 10 or 12 years ago that was promising improved performance and it’s just it hadn’t happened. Couple of other questions I wanted to ask you. You really are kind of warning about a weak first half, it sounds like in both businesses, and I wondered if you can just help us kind of calibrate the main issues in the first and second quarter, so that we get as close to the target as possible?
Hank Newell: So, I think the first quarter is where you are going to see some pretty significant change as we execute overall positioning. You are going to immediately see increased depreciation in interest expense related to the tissue expansion that Sherri kind of outlined, and that’s an important dynamic to see. And in the first quarter you are going to see the impact of the commissioning of ATMOS, qualification of new products, in their qualification process, you generate what we have described as non-brand worthy products that are marketable, but are not going to be caring the margins we would like to see. And we will continue to see some pressure from Brainerd through the balance of the first quarter. As you move into the second quarter, you are going to see a significant improvement really across all elements. ATMOS will be ramping up new product launch of Dubl-Nature, resolution of Brainerd. We intend to grow tissue cases of 6%. We intend to execute on restructuring. We intend to achieve 15% return on capital within 18 to 24 months. And I think that kind of gives you the runway.
Mark Wilde: Okay. And a few other questions, you’ve mentioned this growth in cases of about the 6%, so by my numbers that would be about four times the industry growth rate, four, five times, how you are going to do that without disrupting the market?
Hank Newell: Well, I think we are already doing that. If you look at the growth in the fourth quarter in what you would have historically known as our value-added category, those products sold through dispensers, it was up 5.8%. And if you look where a lot of that future growth is going to continue to materialize, it’s going to be in those folks that are valuing our green leadership, our proprietary dispensing, the proprietary converting that supports. And now we are adding a whole new range of products with superior attributes there. So, I think we are going to continue to do what we are doing, Mark. And I think as that translates into 2013 growth, it ought to be something a little better than 6%.
Mark Wilde: Okay. Then finally, you mentioned in the release the reduction in SG&A by about $13 million, how much of that will show up in 2013 and can you just give us some sense of what the buckets might be there?
Hank Newell: So, as we talk about repositioning, I think the key first step is we need to exit Paper. Our intent is to kind of execute our repositioning in a way that gets to a 15% return on capital within 18 to 24 months. That number is the product of a pretty detailed planning around what it’s going to take in the company to kind of support the rate of growth that we want to achieve in the future. So, it’s going to touch all areas, all functional areas. It’s probably pretty concentrated in the kind of the centralized corporate reporting. And I think the time to ask that question will be that the triggering event will be divestiture of paper. I am sure there will be some ongoing support of paper required. And then let’s say you have a subsequent triggering event and we will provide more clarity on that as we get down the road.
Mark Wilde: Okay, alright, very good. I will turn it over.
Operator: Thank you. We will now go to the line of Kevin Cohen with Imperial Capital. Please go ahead.
Kevin Cohen: Good morning, and thanks for taking the questions. I guess, in terms of the Tissue business, what are you seeing in the market today that gives you the confidence to raise the EBITDA margin goal there versus perhaps what you would have seen just a few months ago?
Hank Newell: So, there is a number of factors as you go through time, and I touched on a few of those on the earlier questions, but the new machine gives us the ability to improve the overall product attributes that we will offer, and to do so with essentially less fiber and less energy. So, there is a fundamental reduction in manufacturing cost, there is some further cost that comes from product design. Then we talk about the growth rate element, which there is a mixed component of this that’s coupled with growth as our existing distributors, our existing customers begin to take advantage of the new products, and they are excited about this. That growth in mix carries with it an element of margin expansion.
Kevin Cohen: And I guess what is the company’s view on tissue price and there has certainly been a lot of headlines out there about a lot of new capacity, a good chunk of which those in the consumer market, but nonetheless when you look at the landscape over the next couple years, what’s your view on sort of organic tissue pricing, excluding any potential mix changes?
Hank Newell: Yeah. So, I think as a general statement even with all the capacity additions across sectors be it at-home, private label, or away-from-home, the utilization rate is going to remain relatively high, and I think even more recent data tends to support that. Within the specific categories of product that we use I think those operating rates has a potential to be even higher. So, I think we don’t see it having a significant impact on pricing within our markets, and we think we have got a level of mix improvement that kind of balances out any risk we have there. So, we don’t view it as a significant risk to the business going forward, and we are not relying on price actions to achieve our margin targets.
Kevin Cohen: I guess on the flipside, is there room for potentially a price increase just given the nature of recycled fiber prices, generally speaking, kind of bottoming out and starting to tick a little bit higher in the last couple of months and bulk prices have been ticking higher as well, do you think there is room for price hike?
Hank Newell: So, I think our focus on how to drive profitability in our business is giving our customer or the distributor the tools they need to successfully and profitably grow their business. And if they are doing that, we are going to see the kinds of margins that we need to deliver to be successful. So, I guess I wouldn’t want to comment further than that.
Kevin Cohen: Sure. And then just two last quick questions, I guess in terms of the potential timing of the Paper sale, any sort of thoughts around that, is that a 1H event, 2H event, or any color on that?
Hank Newell: I think the important thing to think about is achieving a return on capital target in the near-term of 15% within 18 to 24 months. And within that framework, achieving the appropriate value for Paper, because it is a solid business and this is something we have been working on for a while. So, I think that 18 to 24-month timeframe to achieve 15% return on capital is the right way to think about it.
Kevin Cohen: And then what about potential taxes on that business, any sort of tax mitigation strategies or how should we just generically speaking think about that?
Sherri Lemmer: On the Paper business or?
Kevin Cohen: On the Paper business, yes.
Sherri Lemmer: So, again, we continue to look through four different ways and different elements on how to minimize obviously the impact of tax. I think Mark you touched on some credits that we have outstanding with respect to certain carry-forwards specifically cellulosic bio-fuels credit, but again reviewing those alternatives in conjunction with what we are doing is what we have been focusing on.
Kevin Cohen: And then lastly just in terms of the SG&A cut goal that you guys elaborated on earlier, is all of that at the corporate level or is that an organic number or is any of that said differently in the business that’s about to potentially at least be sold?
Hank Newell: So, that’s all in a post Paper, so the SG&A that relates to directly to Paper is not included in that. It’s a holistic view of what a post-Wausau organization needs to look like. And so it’s looked at all areas across Tissue and corporate and said how do we want to organize to support the continued growth of Tissue.
Kevin Cohen: And what are the potential cash restructuring outlays related to that?
Hank Newell: To comment on that, I don’t know that we really can comment on that at this point, ultimately it depends on the time and form of the separation of paper.
Kevin Cohen: Got you. Okay, that’s very helpful. Thanks for taking all my questions and good luck with everything.
Hank Newell: Thank you.
Operator: We will now go to the line of Stuart Benway with S&P Capital. Please go ahead.
Stuart Benway: Thank you. So, what type of buyer would you expect to find for the sale of this Paper business, I mean it would be a manufacturer or a financial buyer?
Hank Newell: So, I guess, I would prefer not to comment on those, on the range of alternatives in that fashion. I think ultimately we have a business that is a very sound, solid business with strong growth potential. And we will be looking for someone that has that same view and has a desire to invest in it.
Stuart Benway: And would you be willing to sell it, I mean I would assume you prefer to sell it all as one asset, but is it possible to sell it in pieces?
Hank Newell: So, I think this would kind of go back to Perry’s original comments that this is getting into the nature of questions that’s probably not appropriate to comment here today.
Stuart Benway: And how about the use of proceeds, I mean, can you talk about what that would go towards?
Hank Newell: So, going forward, we are going to have a priority in capital allocation to accelerating growth in tissue. We have got tremendous opportunities here. I think by exiting Paper and continuing to strengthen our balance sheet, it increases the rate in which we can do that.
Stuart Benway: Okay. And when would you typically show that business as discontinued?
Sherri Lemmer: Again, that depends on the alternatives that we pursue, so we can’t really comment on the timeline with respect to that at this point.
Stuart Benway: Can you give me an idea of what drives demand in the away-from-home business, I mean is it the job growth; is it gasoline prices, or what?
Hank Newell: Generally speaking, broadly speaking in Tissue, demand will tend to follow population. And then you got a combination of factors as it relates to the drivers that for folks to be – for folks that are consuming products away-from-home. So, travel to the extent that economic factors lower travel expectations. It can have a negative impact on demand, but generally speaking, it’s a pretty resilient market.
Stuart Benway: Okay. And so you talked a little bit about wages and fringes which were up pretty sharply to whatever $0.20 I guess for the year, I mean, how much of that would you say is due to the new employees for the new facility, I mean, as a percentage basis or whatever?
Sherri Lemmer: So, looking at that, when you look overall about, I would say, about half of that, maybe a little bit less than that would be to do – having to do with the additional employees that brought on with respect to the tissue expansion project. Now, that’s going to include wages and fringes and other items that occurred, but probably right…
Stuart Benway: Do you expect…
Hank Newell: So, I would suggest I think we have some other questions in the queue and perhaps we could circle back here and some of these questions I think if you just contact Perry, he can flesh out some of the detail, a little bit more detail.
Stuart Benway: Okay, thank you.
Operator: Thank you. We will now go to the line of (Steven Raineri). Please go ahead sir.
Steven Raineri: Hi, Hank. I just want to clarify something about the language in the press release about near-term options for Brainerd and it’s been touched on a little bit with Mark Wilde as well. What I am trying to understand is Brainerd sort of separate and distinct from what you are trying to sort out with the Paper business, because on one hand it sounds like that’s more of a near-term option, but then on the other hand it depends what you decide on the Paper business according to the comment you made earlier what you do with Brainerd. So, I am trying to figure out how these things interrelate?
Hank Newell: Yeah. So, if you look in the presentation, in Sherri’s piece where we talk about the improvement expected in the Paper segment this year. That improvement is assuming is going from $16 million of EBITDA to $31 million, that’s assuming we have an own Brainerd or it was a Paper segment for the full year. So, I think there is no interdependency with an ultimate transaction for Paper with that commitment. The interdependencies become are relevant to when you look at various alternatives there is some alternatives where the Brainerd capabilities and asset are more attractive than others. Does that help?
Steven Raineri: I must have just missed Sherri’s comment earlier, so I guess what you are saying is there is a definition about Brainerd and whether or not you run it and at what rate in the near-term, and then ultimately depending on what your option is as far as the overall Paper segment, it can be impacted there as well? I guess I may have to circle back with you guys, because I just don’t completely understand it.
Hank Newell: Yeah. So, fundamentally, there is a pretty wide of options. And we are working through those. We don’t intend to allow the kind of performance that we saw in the second half of the year to continue.
Steven Raineri: And that’s Brainerd?
Hank Newell: And that’s Brainerd.
Steven Raineri: Okay. And as far as the comment earlier about just switching gears back to the tissue machine or to the paper machine and that the steel in the ground comment, I just want to make sure I understand that as well, Hank. What I think the question was why don’t you consider selling the whole company? And I think if I could paraphrase here, I think what you said was I don’t know that we would get a fair return on the investment that we have made, because we just made it. So, you certainly want to sell the tissue machine, the paper machine for more than $200 million, right, you have a return – we have a return coming to us from that machine and we need to be paid for that?
Hank Newell: That’s correct.
Steven Raineri: Is that what you were trying to say?
Hank Newell: Yes. Steve, I think you got the nail in the head, and as one looks at the business today, there will be a focus on LTM EBITDA. You may get some credit for some prospective growth, but fundamentally, the debt we have on our balance sheet relates to the paper machine and we are getting, we have strong expectations for the return and our shareholders have just strong expectations for the return we should get from that investment. And I think it’s unlikely to get the value for that without contemplating what some folks suggest as a sale in the near-term.
Steven Raineri: Okay. Well, I mean, I guess it all depends on the price. So, I mean there is a price where you would, there is a price where you wouldn’t, and I think that’s ultimately what matters?
Hank Newell: Yeah. So, those kinds of questions are always the responsibility of our board to assess and but I think again the fundamental issue we have with that approach right now is a major investment in the ground that’s not yet generating revenue.
Steven Raineri: Right. Well, we all want that return.
Hank Newell: Yeah.
Sherri Lemmer: Okay. Given the time, I think we will be able to take one more question.
Operator: Thank you. We will now go to the line of Mark Wilde with Deutsche Bank. Please go ahead sir.
Mark Wilde: Yeah, just going back around to that last question, so just to be clear here Sherri, that $31 million going from $61 million – $16 million to $31 million in the Paper segment in 2013, that does not include Brainerd in that number for the full year?
Sherri Lemmer: That includes improvement for the Paper segment as the Paper segment stands today.
Mark Wilde: And so the Paper segment as it stands today includes Brainerd?
Sherri Lemmer: Correct.
Mark Wilde: Okay, alright, very good. Thanks.
Hank Newell: Okay, Jinxan.
Operator: Yes.
Hank Newell: Thank you very much. We anticipate releasing first quarter earnings on April 30 and look forward to our next scheduled conference set for 11 AM Eastern that morning. We appreciate your taking part in today’s discussion and your interest in Wausau Paper. Thank you very much.
Operator: And ladies and gentlemen, this conference will be available for replay after today, 12 PM Central Standard Time through February 18. You may access the AT&T executive replay system at anytime by dialing 1800-475-6701 and entering the access code 279379. International participants, please dial 320-365-3844. Once again, those numbers are 1800-475-6701 and 320-365-3844 with an access code of 279379. And ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and using the AT&T executive teleconference service. You may now disconnect.